Operator: Welcome to the Lynas Corporation Quarter Investor Relations Conference Call. There will be an opportunity to ask questions at the end of today’s presentation. (Operator Instructions). At this time for opening remarks I would like to turn the conference over to your host today, Executive Chairman of Lynas Corporation, Mr. Nicholas Curtis. Please go ahead, sir.
Nicholas Curtis: Thank you and thank you for joining us on this quarterly call for Lynas. Let me start with the issue that is undoubtedly the source of the major conversation around Lynas at the moment and that is to try and give as much as I can possibly give on the status of the license. I start with the clear statement, the Lynas Phase I plant is complete and ready for operation. We cannot bring concentrate into Malaysia until the temporary operating license is given to us. That license has been approved but not yet issued as shareholders know, the project has been the subject of significant scrutiny around the parliamentary steering committee and other reviews and some appeals and so on. All of those are now behind us, we are in active conversation with the Malaysian government about any issues that they may perceive need to be addressed prior to the filed issuance of the TOL. We do not see any outstanding issues there at the moment but I cannot give a time table on the issuance of the TOL because it is now well and truly in the hands of the government to decide the date on which they wish to issue that TOL. So, we as a shareholders are and management is keenly looking forward to that day, we are ready to ship materially and ready to feed it through to the kiln. Our operating assumption remains first feed the kiln in the next quarter obviously and in fact we had in the month of August. So that’s probably the best clarity that I can give at this point in time, obviously speculations on when although it's quite understandable that people speculate pretty heavily on this, speculation of precise dates is impossible because the matter is outside of their direct control at this point in time. So that’s an update on the TOL, let’s move now more into the rest of the presentation. I will go through where we are at in terms of safety and sustainability and give you an update on WA operations, construction operation, update on the (inaudible) in Malaysia and a bit of update on Phase II and the Duncan Deposit. So a little bit about our finances and broadly about the rare earth pockets. I am very pleased that having completed Phase I, we have completed it LTI free at more than 8.7 million hours of labor LTI free, that’s an outstanding outcome in Malaysia or Australia or anywhere in the world for project construction and has been done with proper discipline of safety prioritization in the operation from our contract and for the rest of contractors. The company’s overall LTI frequency rate north 0.6 for the full financial year and that includes obviously contracts across Australia and Malaysia and Malawi and we continue strive for zero harm. It is important, we believe safety is not just an optional extra the safety is the indication of an efficient company and we drive the company towards those safety and sustainability goals. Now Weld has been an operating plot now for significant amount of time and in fact we would say that we have de-risked the front end of that process mining and concentration, we now have switched off piles of concentrate ahead of the straight up of the lap for some time to come, we have more than 13,000 tons of dry bagged concentrate ready for export. The plant has exceeded our expectations design expectations in terms of grade and recovery, we are now at around about 70% recovery which is a substantially above (inaudible) design capacity and cash costs are coming down substantially with that plant. Now they are not down to where we believe they will be long term because the plant has not operated at the continuous rates with the going forward in production and in fact we are currently going through a temporary shutdown of the plant as it has helped to reduce the working capital requirements which allows us maintenance and integration of Phase II construction during such shutdown base. If we don’t exactly know when we will restart the Mt Weld plant, because that is a function of making sure that we can export the concentration as we know further decide to build up concentrate in Australia but that will be fully synchronized with the requirements of the startup plant in Malaysia. In Malaysia, the plant itself as I say is now effectively complete, we are not focused on the pre-commissioning and commissioning of the plant and we can take that only so far with that live material to feed into the plant. As of the end of June, 77 out of 85 pre-commissioning test packs were handed over through a managing contract for final commissioning and at the end of the quarter actual commissioning of the plant was 64% complete that’s because we can go downstream, we can do certain parts of the plant and activate those parts of the plant for commissioning ahead of live feed then into the plant. So, 64% commissioned, we have what we call our ready for startup operational preparedness program which is that we are now at 100% employment for the plant utilization in Malaysia, anticipating a very short term utilization and each of those employees needs to have the work programs well defined and our operation preparedness has to complete. We are 97% complete at the end of June for that and the small balance of pending projects are not critical for plant startup. So, given our first good progress and commission we are ready for first feed to concentrate kiln in the next month and obviously that’s a subject to the issuance of the TOL shortly. Other activities continue to be focused around potential upside of our resource base, we have made solid progress in Australia at the Duncan Deposit and we think that’s an extremely important potential future development for us because it is in fact a different bias of rare earth through a different mineralogical structure which allows us to extract potentially more of the heavy rare earths which are needed to balance that customer proposition which is to deliver the range of rare earths they need. We have completed discussing, studying those results were announced and it looks like a significant potential project. It requires chemical beneficiation, not gravity or separation or concentration. So it is a slightly more complex projects we have undertaken at this point in time but we believe with the infrastructure we have in place and not Weld and looking various locations for that. We can advance on that quite substantially, I look forward to updating you further on that as the feasibility don’t know, at the next coming months. Phase II expansion in Malaysia of that plant takes up to 22,000 tons is well advanced, the construction of the LAMP project is 25% complete, the total project including engineering design is substantially more than that, although 50% completed at this stage. In the cumulative progress of the plant including procurement and engineering is about 72% complete. Project is on time and within budget, our managing contracted to a tie and understand the contract have opened up more work for us and the moment side increase and we believe that project will be delivered on time. We also continue to have excellent sales (ph) track record with both projects remaining so one end remaining (inaudible). In terms of activities in Malaysia, I have mentioned of course the TOL and our relationship with government I think it's worthwhile mentioning that we are also taking a strong position with respect to people continuing to publish materials that do not reflect fact and in our opinion possibly the (inaudible). We have had free Malaysia today, published apology, we are very pleased, I saw the sense of that. We had a call action which stabilized stock line are subsequent to the year end, I want to clarify that was our initiative that call action to seek injunction to shut down the publication of the (inaudible) material. The judge did not make any opinion whatsoever on whether the material was to (inaudible) simply said we should have wait the court process to make that judgment that he wasn’t going to our injunction to shut down, we are not concerned about that our position on that particular action stands as clearly as we took the action. We are looking at one other publication at the moment, that published the material we can consider to be very dangerous material for us. It's not because we want to stifle any freedom of speech let’s get that absolutely clear. It's because we believe that the debate has got to the point with unfounded acquisitions, we are getting traction with community and they shouldn’t and therefore it's important that we have a responsibility to community not just to ourselves and our shareholders to make sure the facts speak. We look forward ending that phase of this debate. We are also actively involved in quality of engagement with community in terms of education and education programs around the side visits and as much transparency as possible on the reality of this operation. We are not in Malaysia to create an anxiety (ph) of community and we will do what we can to try and subdue and anxiety, we believe it is now a very relatively small but a fairly dedicated part of the Malaysian constituency that sees this issue as still an issue. At the end of June, on financial terms the company had plenty of cash the $205 million cash on the balance sheet comprising 124 million of cash on hand and 91 million of restricted cash. We now manage our cash position very closely, we realized we don’t have certainty on cash flow. At this stage, we are managing towards the August feed to kiln but we also have plenty of cash to see us through along the line in terms of the issuance to the TOL. Management is very focused on preserving the cash positions until we have certainty of the green light to go. And initiatives like the temporary shutdown at Mt. Weld, our cash preservation this is our current response in the current environment. They can be turned around extremely quickly within a matter simply a matter of days at the moment that we in fact given the final green light to go forward. Let me turn to rare earth markets and prices more generally, the rare earth market continues to be fairly subdued, I gave an interview just last week outlined I think in a bit more detailed the structural changes I think it's available on our website, we think that there is a restructuring of the industry going on in terms of what I would call the mid-stream of the industry that’s the say the magnets (ph) plants and some of the other processes at rare earth who have been wanting to move to Malaysia, some wanting to be from Malaysia too but that was a slip of the tongue. The more to China for access to the raw material and we think that has created a certain amount of uncertainty in the supply chain which is reflected in a subdued pricing structure right at the moment that is compounded with difficult trading conditions globally for the manufacturing industry and we are seeing a period of relative subdued pricing with we think inventory drawn down still been a substantially part of feed stock for the rare earth supply chain. We think that does not have long to go, we can’t easily predict the global macroeconomic events but we certainly think that there could be a substantial tightening up of those supply chains in the reasonably near future. And we expect that to result in supporting of rare earth prices not necessarily spectacularly further than where they are today but certainly solid support in rare earth prices. We actually quite like more or less to those pricing because we think it's strongly supported of demand growth and a lot more sustainable than the volatility and prices that occurred last year. On the supply side, Chinese authorities are continuing to crack down and impose domestic production, export restrictions and they consolidated the industry I think this is a trend that is very marked and clear in China to force strip it to compliance with environmental standards and more thorough allocation of capital in this industry. All good because it's all there in sustainable development in the industry in the future at one in which rare earth prices are properly and fairly valued but were rare earth as a commodity, the commodity of choice is the application is which they can be used. I think that’s very important, we continue to be very positive about the (inaudible) whereas remain in many of the applications here in by further preferred material we think there has been some doubt by REMs about rare earth not because of the technical applications of the rare earth but simply because the volatility in price and the noise around supply chains has created uncertainty. Our job is to remove that uncertainty, we established the rare earth supply chain and see substantial growth in the rare earth market was poised ready to do that and as soon as we get the green light we will be producing ferrous. Thank you. I will now be happy to turn it over to questions.
Operator: (Operator Instructions). Your first question comes from the line of Ben Wilson from UBS. Please go ahead, sir.
Ben Wilson – UBS: Two questions, Nick just the first one regarding cash balance and I appreciate the update you just gave, just looking specifically at this quarter, that you just heard about $40 million or so in CapEx in the quarter relative to guidance for the start of the quarter. My question is in the event that the TOL is delayed for some additional months will you likely to fare additional CapEx in which case what impact will this have on (inaudible) for completion of Phase II construction.
Nicholas Curtis: Short answer that is no. We believe we aren’t allowed to some contract with those two that is very advantages for Lynas and that it is absolutely in our interest as a company to proceed to completion of the contract. It's very expensive to suspend the project of that magnitude we had to do it once in a history before and then to disemployee and then reemployee all the contractors is a momentum on side, a very strong momentum on side we need to see that projects through completion.
Luisa Catanzaro: Actually no, Phase II so it's just funding (inaudible), that will continue.
Nicholas Curtis: We have discreet this Luisa, CFO, we have a discreet funding for the Phase II project and we will see those quite sufficient to complete the project.
Ben Wilson – UBS: Okay. Thank you and just my second question is regarding rare earth pricing, again you touched on that a bit as well but in terms of your (inaudible) pretty nicely of lanthanum and cerium now at/or take below $20 a kilo. Obviously the trade is quite at the moment probably lead by uncertainty in Europe. Just interested to know what your outlook is regarding pricing going to the end of the year from demand perspective but also supply given that yourselves could be commissioning by the event.
Nicholas Curtis: Okay so let me deal with supply side first, we don’t believe supply will be a major price determinant. We think demand regrowth and demand reinitiation is where price points will be significantly. Molycorp and ourselves both are looking for production in the next six to seven months. Both will in fact have to ramp up the production schedules and I think both have already covered the way those materials will go. So we don’t actually see new supply has been up in the market. We don’t know Molycorp’s position but we now have position and we are secure that we can in fact place in the market without any real effect on price. On the demand side it's a bit hard to predict because macroeconomic events are so volatile at the moment and perception is so hard to read, obviously a change in a consumer sentiment and general population feeling about the world will change high end products. One thing I would say that in the consumer side of the rare earth business, the product applications that rare earth is going to tend to be relative high cost items that people are probably a little bit discretionary about in an uncertain environment, things like plasma screens and so on. First of all I think there is a bit of lag there and I think probably demand on the mega markets has been lower than we think it will be in the next 12 months for example. And I think it's encouraging the prices are stabilizing as where they are even in a period of relatively subdued demand. So we think talking to customers the transparence on forward forecast and forward demand forecast say over the next couple of years it's likely to come out over the next three months and then I think restocking is going to become an issue for them. So we are quietly optimistic about the demand picking up.
Operator: Your next question comes from the line of Chris Terry from Deutsche Bank. Please go ahead.
Chris Terry – Deutsche Bank: I have got two questions, so you have touched on it there in the last line of questioning but on the outflow expected for next quarter, is that are all those numbers down on the premise that the losses (ph) comes through next quarter I guess some of it's not discretionary but maybe the production numbers is associated with that 23 odd million and also your sustaining capital numbers for the rest of the year, is there anything that you can pull back there at all?
Nicholas Curtis: Yes, I would say our sustaining capital a less but some but yes the cash flows we are forecasting are premised on production. So yes we do have some headroom there to draw some of that. I don’t have the exact number in front of me so let me just confirm it with Luisa for one moment. Yes I take you back to the experience we have now where I spend it on a standstill leaching basis where we are sort of keeping the company integral and whole, anticipating license but not spending any more than half to it, by either month or so, that gives you a bit of a feel for what the discretionary spending about that is.
Chris Terry – Deutsche Bank: Okay sure and then you talked about where you are at on site but I guess to that 97% complete mark and where you are at with commissioning, do I take that just to be absolutely clear that you are basically at the stage where you are now are sitting waiting for the TOL, there isn’t a lot that you can do. Can you get that ’97 up to a 100 for example or is that condition on mill losses (ph).
Nicholas Curtis: We have plenty of people working hard on a lot of issues, a lot of the issues we would have been working on live situation not in a free operating situation but you know the reality is when you commission a plant there are still a lot to do after you commission and stand up the plant. We brought forward a number of those programs, the 3% you talked about is immaterial to operating action on the way through. So on the answers we are ready to go but there will always be ongoing work in commissioning and sustaining capital and maintenance and so on, some of which we can access now, some of which we can’t really access until we know what a hot plant looks like.
Chris Terry – Deutsche Bank: Yes sure and then one last one, on the Duncan Deposit, is your spending there how quickly progressed that completely independent from your LAMP progress or?
Nicholas Curtis: We have a very, very tight limit on the Duncan Deposit until such time as we have cash flow like all operation. Our philosophy as a company is our key priority is to move into the cash flow positive position and then we can start spending on some of the discretionary issues.
Operator: Your next question comes from the line of Phil Owen from MMO Associates. Please go ahead, sir.
Phil Owen – MMO Associates: How active is your global sales effort in building a forward order book and could you give us some indication of the position that you have at this point in time with Siemens in that order book?
Nicholas Curtis: No I can’t give you any specific indication to Siemens position, obviously those conversations are commercially in confidence in terms of the structured of Siemens joint venture. We have said we are in the process of negotiating the Siemens joint venture, there is quite complex series of issues around that. I would stress that Siemens aren’t at out order book, Siemens are an interesting and important customer. The reason we put emphasis on them is not only because the quality of Siemens but because it's indicative of the core marketing strategy we want to put in place which is to hold hands and partner with large OEMs that have very significant application growth in interesting applications that use rare earth in this case direct drive wind turbines. So that is more of an example of where we are going with other customers some of it not declared. Now in doing that we are changing the paradigm of the rare earth industry away from spot trade at driven sales to long term supply contracts, that’s a slow process. We have good, our sales agreements are strong for most of Phase I material and some of the Phase II material but most of Phase I material. We also have a deep market should we require and we don’t necessarily say we need it, we also would point out that there is a deep and active spot market in the rare earth market because that’s the current market as a whole. So I hope that helps you understand a bit but we are working continuously with an active sales team, Malaysia, Australia to enhance our relationship with our clients. I would also just make one final point on that, it is very difficult to conclude definitive agreements at the moment in an environment where there is uncertainty about the issuance in the license. We anticipate the final issuance of the license should result in more definitive agreement closure quite rapidly.
Operator: Your next question comes from the line of Craig Sainsbury from Citigroup. Please go ahead.
Craig Sainsbury – Citigroup: Just a question again on the license but just to clarify for me, is the temporary operating license, it's only on the Phase I and if it is on the Phase I can you just talk us through how you are progressing a license for Phase II and what you have heard back from the government et cetera in terms of the ability to wish it Phase II, I would have thought they want to say how Phase I works before you get another license.
Nicholas Curtis: Fortunately through (inaudible) and quite correct there, the license is a license for our plant. It's our election to make it to the Phase I, Phase II generation. The permits we have are for the entire plant not for the one part of the plant or another. Okay, so there is no need for a TOL for Phase II, Phase II will just sequence into all of that. Just like the DoE have approved a full plant here at 22,000 tonnes not Phase I and Phase II so the i.e. will be licensing procedure goes to the entire operation not to a pace of the operation on the way through. Just to clarify that’s one, the other issue about the TOL is that, it is a standard operating practice in Malaysia for industries that are subject of regulatory control by the Atomic Energy Licensing Board. They are varied group of industries, we are not sure it's quite a difficult list to get a hold of exactly how many industries there are but we know it's north of 14 or 15 major industrial complexes in Malaysia from pigment plant manufacturing to oil refining are under the scrutiny of the AOB so this is a common generic process in Malaysia. The TOL is issued only pertaining to the regulatory approval of the AELB, The Atomic Energy Licensing Board. It has nothing to do with the balance of our environmental approvals and that one’s proved has the conditions by which we must continue to operate. I think an important point is that the permanent operating license can be granted anytime within two years after the issuance of the temporary operating license based only on the fact that we are complying with the conditions which are the conditions of the temporary operating license. The permanent operating license does not require new conditions to be imposed on them. It's very comfortable once the TOL is issued provided we perform in accordance with the regulatory requirements we should assign for any environmental approval for any project anywhere in the world that we will able to continue exactly according to the plan.
Craig Sainsbury – Citigroup: So to make it very simple then, are there any other approvals that you need to get whether it will be environmental or anything else to turn on fast over that plant.
Nicholas Curtis: No, the short answer is no but if you understand industrial operations you are always under supervision for a number of things from local counsel through the Water Boards, so we are always continuously monitoring our interferences with regulatory authorities.
Operator: Your next question comes from the line of Mike Harrowell from BBY. Please go ahead.
Mike Harrowell – BBY: Just clarification on the costs again, just 8 million a month, it is like 24 million. So it is sort of, the 23 year forecasting for the next quarter is more or less is the minimum cost that you would incur which would mean excluding reagents and shipping costs and that sort of stuff? Is that correct?
Luisa Catanzaro: When I was referring to a run-rate is 8 million a month, as Nick had said we have been very prudent with our cash preservation (ph), what I am saying is total cost was the normal event, 8 million a month. You will see that was put out there is production and that been moving 8 million per month but that’s 31 million in total.
Mike Harrowell – BBY: Okay, so the 8 million and if I look at that 31 million for the period compared to 24 million the difference would be reagent costs and like, would it?
Luisa Catanzaro: Production would have all costs of production in there that’s correct, direct and indirect cost were going there cash for us.
Mike Harrowell – BBY: So the implication is if stage one was working correctly then roughly speaking you are talking about $31 million a quarter including head office costs been the total cost of goods sold plus SG&A for Lynas, is that how we should look at it?
Luisa Catanzaro: You should look at it as part of the ramp-up process so our ramp-up is built into that quarter so we are assuming we start production and as one will ramp-up more of facilities, we are expecting Phase I to take a number of months and Phase II when that’s hold to ramp up so we will just build-up slightly but yes all people (ph) cost to this, so the cost that is going to ramp up more than others will be things like chemical and reagents, you are right.
Mike Harrowell – BBY: Okay so probably just in some stage just looking to revisit the guidance I think the cost for the and I presume this doesn’t include north well so that would be an additional cost when you put but will back on again.
Luisa Catanzaro: No these costs are showing that we are back in operation and we will be back in operation at Mt. Weld also within this quarter on the basis that we have received a TOL.
Mike Harrowell – BBY: Okay so the previous guidance thing was a 110 million per year to run the entire operation on top of which you would add head of a percent (ph) in. So if there is any change to that guidance I guess we would appreciate an update.
Nicholas Curtis: I think we will take that offline, Luisa is happy to take that offline with you Mike.
Operator: Your next question comes from the line of Andrew Harrington from Patersons. Please go ahead.
Andrew Harrington – Patersons: Despite what I look at in terms of the sums, people keep wondering if there is a capital raising and I am looking at roughly 124 in available cash and 60 spend in the next quarter, can you categorically state that there is no capital raising at least in the.
Nicholas Curtis: We cannot and I think if you understand Australian Securities Rule and Regulations you would understand perfectly well that we are not as Directors of the company in a position to make a comment on the capital structure of the company in the future. It's just not something we can do, so please don’t take that as a no or a yes, it's just outside of the purview of management to turn around and give a categorical forward-looking statement of that capital structures because that would be giving information that is not appropriate for us to publically give. So that’s first say that, secondly I am aware of the chatter around the place about a possible capital raising and I am also aware of the period of shorts there are on stock. The facts are that we do not see short term equity raisings as useful to cover short term working capital requirements.
Luisa Catanzaro: I might at this point also add this up, we are already in the correct numbers. The unrestricted cash position is a 124 million as it's showing on our appendix 5B, I will also refer you to the fact that we are looking at development costs in Phase I next quarter of 27 million. We are running very, very lean on admin cost and Nick has already said in total the run-rate at the moment we get it's hold it's under 8 million taking through the sums by yourself but there is a 124 million, the 27 million on slide one and we are telling you what our run-rate is so you can…
Nicholas Curtis: But we are not currently…
Luisa Catanzaro: Running out of money.
Nicholas Curtis: Highly with an anxiety there, cash balance we are not currently feeling that.
Andrew Harrington – Patersons: Exactly that’s what I am trying to explain to some people but it seems they have got it in their minds that…
Nicholas Curtis: Unfortunately we can’t control what other people have in their mind about that stuff but obviously we know that’s ease of conversation at the market place.
Operator: Your next question comes from the line of (inaudible). Please go ahead.
Unidentified Analyst: Slightly a different angle to the last cost question, should we assume the $18 million net operating outflow for the quarter will be repeated sort of each quarter going forward assuming the TOL approval doesn’t come through to sort of the end of the year.
Nicholas Curtis: No I think the 18 million, I didn’t understand your question actually.
Unidentified Analyst: Yes so the net operating cash flow for the quarter was negative 18 million, should we assume that going forward each quarter, if the TOL approval doesn’t come through?
Nicholas Curtis: Differently the $24 million or $8 million a month run-rate we saw.
Eric Noyrez: I think that’s what we said, I was just thinking what we said there.
Unidentified Analyst: Yes.
Luisa Catanzaro: Bad, negative number until such time as we start making sales to turn it into a positive choice.
Nicholas Curtis: Yes and they are all sets and I wouldn’t just take that number, they are offsets against that number but we have, they are quite transparent saying that we are running in the $8 million a month run-rate.
Operator: Your next question comes from the line of (inaudible) Wentworth Capital. Please go ahead.
Unidentified Analyst: Nick just a question around the convertible bond date, and I suppose some of the terminology that’s been used around defining whether the TOL is issued or not issued or not approved. So in the bond date, there is a last one approved event. So at the moment, is the TOL defined as granted or approved but not issued or is it just not approved?
Nicholas Curtis: Your question is extremely realistic question and I appreciate the question, our broad answer is yes, we do not believe we will have test that issue.
Operator: Your next question comes from the line of Robert Richardson. Please go ahead.
Robert Richardson: Just a fairly simple question which I suspected to see if you are willing to very easily, in the second last page I have been just going through the quarterly report, in the second last page it refers to advance material plant, Malaysia, spend to 30th, 308.4 million, future spend 44.8 million. I didn’t quite understand why you would be needing to spend in a capital expenditure 44.8 million beyond 30 June, is that correct?
Luisa Catanzaro: Yes (inaudible) 36:48 that is the cash spend to go, as I mentioned a while back our appendix 5B gives further clarity off that 47 million spend to go, cash was 27 as expected in the next quarter, however the plant is substantially complete. The plant is complete and clearly all that indicates us a difference in timing between when they are invoicing and so we are looking at things like 16 weeks as to pull its potential.
Nicholas Curtis: It's not the ideal (ph) job?
Luisa Catanzaro: No.
Robert Richardson: I see, ok so that is basically work already done but not necessarily tied for in some case.
Luisa Catanzaro: Work already done, work already committed. That will be capitated on the balance sheet but that’s a cash to go.
Robert Richardson: And very quickly and I don’t know how much of this you can answer but the plant is built in the (inaudible) and of course there is a general election coming up at some stage. Can you make any comment about whether there is any possibility of TOL been glide into last the election Nick.
Nicholas Curtis: Sure.
Operator: Your next question comes from the line of (inaudible). Please go ahead.
Unidentified Analyst: Could you please give me an idea what is your estimate of the share price assuming the after the granting of the TOL.
Nicholas Curtis: No I am sorry, I can’t, I am not willing at all, in a position to make a predictive comment on the share price.
Operator: Your final question comes from the line of Ben Wilson from UBS. Please go ahead.
Ben Wilson – UBS: My questions have been answered.
Nicholas Curtis: Thanks very much Ben, so I think that’s as we understand it the completion of the questions at this stage. We are always happy to take questions on-board if people want to contact us directly and again I would like to thank you for the time you have taken today to be part of this process and actually at this point in time we will actually say thank you very much and call the conference closed. I will give it back to the operator.
Operator: And this does conclude our conference for today. Thank you for participating. You may all disconnect.